Operator: Thank you for standing by. And welcome to CrossFirst Q2 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference maybe recorded. [Operator Instructions] I would now like to hand the conference over to your host, Matt Needham, Director of Investor Relations. Please go ahead.
Matt Needham: Welcome, and thank you for joining us today. On the call are Mike Maddox, our President and CEO; Dave O'Toole, our Chief Investment Officer and Former Chief Financial Officer; and Randy Rapp, our Chief Risk and Chief Credit Officer. Our new Chief Financial Officer, Ben Clouse will also be available during the Q&A portion of the call. As a reminder, a telephonic replay of this call will be available on our Investor Relations website. Before we get underway, let me remind you that our release, quarterly investor update and presentation slides that accompany this call are all available on the Investor Relations website. Slide two is a cautionary statement. I want to point out that in our remarks this afternoon we will be discussing forward-looking information, which involve a number of risks and uncertainties that may actually cause results to differ materially from our forward-looking statements. We provide a comprehensive list of risk factors in our SEC filing, which I encourage you to review. Reconciliations of non-GAAP financial measures to the nearest comparable GAAP measures are included in the release and presentation, copies of which are also available on our IR website. All earnings per share metrics discussed on today’ call are provided on a diluted per share basis. I’d now like to turn the call over to Mike Maddox.
Mike Maddox: Thank you, Matt. And thank you to everybody for joining the call. Before we get into the quarterly performance, I do want to take a moment to honor our former CEO, George Jones. We are deeply saddened by George’s passing and we are lucky to have had him with our company. George’s leadership and mentorship had played a critical role in our company’s success. George taught me and many of us so much. One of his greatest strengths was his ability to connect with people. We will remember his extraordinary service across our entire company and throughout our industry for years to come. We offer our deepest condolences to Merriam, his kids and the rest of George’s family. As we begin to look forward, I’d like to introduce the newest member of our management team who is joining us today. I am pleased that with the hiring of our new Chief Financial Officer, as we have filled out our management team. After conducting a nationwide search, we found a terrific and well qualified CFO right here in Kansas City. Our new CFO, Ben Clouse recently started with us on July 12th and will be a key part of our leadership team. I know Ben will be instrumental in helping us grow strategically, while also meeting the evolving and changing needs of our clients. Ben has over 20 years of experience and he is joining us from Waddell & Reed, where he was Senior Vice President and CFO for the last three plus years. I’m glad to have Ben here with us today and on the team. After a challenging 2020, our first quarter of 2021 demonstrated great strength in our core operating business and we were excited to announce that our second quarter produced the best quarterly earnings in company’s history. As we move into discussing our strong quarterly results, our operating revenue grew 6% during the second quarter and combined with reduced provisioning led to a record $15.6 million of net income and pretax pre-provision profit of $22.3 million, earnings per share of $0.30. With the strong results, we achieved a return on average assets of 1.10% and return on average common equity of 9.86%. We also managed our balance sheet to reduce asset size which improved that interest margin to 3.12% for the quarter. I’m extremely proud of the team’s focus, performance and progress toward our strategic goals. The team has been laser focused on improving our profitability and their efforts can be seen in the numbers. During the second quarter, we thoughtfully improve the company’s balance sheet efficiency and strengthened our profitability metrics. CrossFirst is committed to helping our local businesses and communities we serve, especially during the pandemic. Our dedication to our customers led to holding low margin PPP loans and excess cash from economic stimulus pumped into the economy. During the quarter, we were able to assist our customers and attaining -- obtaining forgiveness for $161 million of PPP loans and have nearly $100 million of C&I pay downs, and reduce our excess cash balance. In managing our deposits, we allowed non-relationship and institutional deposits that were a drag on margin to roll-off the balance sheet. While our overall growth metrics were impacted, we increased our margin by 12 basis points from the previous quarter. We also continue to execute on our strategy of growing non-interest-bearing deposits and we’re able to increase demand deposits by 3% from the previous quarter and by 9% over last year second quarter. These steps contributed to a stronger deposit mix that now has 19% of our total deposits in demand deposit accounts. While there’s still some residual impact on our loan growth from pandemic-related activity, we expect our continued expansion efforts to help us drive loan and balance sheet growth in future quarters. As the economy reopens and oil prices stabilize, we are seeing significant improvement in our credit metrics. While we added to the reserve during the quarter, I am pleased to announce a substantial decline in our classified assets, lower non-performing assets and reduced charge-off activity. We expect to see continued improvement throughout the second half of the year, which should lead to further upgrades in our loan portfolio. We also completed the $20 million share repurchase program at a weighted average price of $12.68 per share. The combination of the share repurchase program ending, adjustments to the balance sheet and improved performance led to increased capital ratios during the second quarter. Our strong capital position allows us to continue to evaluate growth and expansion opportunities. Our path to success is grounded in the ideals of one team, one bank with a shared vision of success. We remain focused and dedicated to our purpose of serving people in extraordinary ways and to our promise to contribute to the well being of our employees, clients and communities. Attracting and retaining the highest quality talent is of utmost importance. It is the key to our successful execution of our plan. In June, we announced our entry into the Phoenix, Arizona market. I’m pleased to announce that we recently received regulatory approval for our full service Phoenix location. Like all of our expansion efforts, the decision to enter the market was opportunistic and centered around finding the right talent, the people who fit our culture, our relationships banking model and who will effectively compete and grow our presence in the market. Our new mark -- Arizona market President, Kevin Halloran comes to us with over 35 years of experience in the Phoenix banking community. We were able to take advantage of market disruption that allowed us to land the right leader for the market. Kevin has also hired two experience commercial bankers with long tenure in Phoenix. We believe this team can grow to scale in a short period of time. The decision to go to Arizona was also a natural extension of our current customer base. We already have a number of customers located in Phoenix. We will continue to expand into other metropolitan markets to fill in our geographic footprint over time. It will be driven by hiring great talent or through the right strategic acquisition. We know how to grow organically and that will continue to be our primary focus. We remain excited about our growth in the Dallas-Fort Worth area. As a part of that growth, we are making progress in Frisco as we build out our team. Texas continues to be a strategic focus for the company. We will continue to add market talent and look to expand our presence across Texas where there is tremendous opportunity. Before we get into the detail of our financial performance, I’d again like to thank Dave O'Toole for his hard work and dedication at CrossFirst and what will be his last earnings call with the company. Dave will continue to be with the team for the next year as Chief Investment Officer and I look forward to a successful transition of the CFO role event. Thank you, Dave, for your contributions to the company over the last 13 years. I’ll now turn the call over to Dave to take everyone through the financial details of our results.
Dave O'Toole: Good afternoon, everyone. And Mike, thank you, for your kind words and comments. I appreciate your support. We had a great quarter and continue to post positive operating revenue performance. In the second quarter revenue improved $48 million, up 6% from the previous quarter and 10% from the same quarter in the prior year. Revenue growth for the quarter was achieved by a combination of factors including net interest income of $42.3 million. While historically we have had a strong balance sheet growth driving our operating revenue performance, this quarter we focused on improving margin by being prudent with our loan and deposit pricing decisions. The strategy allowed us to create a much more efficient balance sheet, reduce non-core funding, concentrate on PPP forgiveness and focus on core customer relationships with the objective to strengthen and grow earnings. Non-interest income for the quarter was $5.8 million, a 41% increase from the previous quarter. We had another solid quarter for service charges and credit card fees compared to the second quarter of 2020 and we recorded a one-time non taxable insurance recovery. For the quarter, NIM increased to 3.12% on a fully tax equivalent basis compared to 3% in the previous quarter. When comparing Q2 2021 to the previous quarter, earning asset yields improved 7 basis points and cost of funds declined by 7 basis points. The year-over-year NIM decline can be attributed to a 39-basis-point decline in tax equivalent earning asset yields that were partially offset by a 36-basis-point reduction in cost of funds. During the quarter, we strategically reduced our asset size by nearly $700 million, as we continued to adjust deposit pricing. These adjustments increase the loan to deposit ratio to 97%, making our balance sheet significantly more efficient. Historically, we have used wholesale, brokered and institutional funding to support our growth initiatives, which allowed us to be more nimble with our excess liquidity in the current environment. The investment portfolio continues to be a great source of revenue for the company and we had an unrealized gain at the end of the quarter of nearly $35 million in the portfolio. Overall, we grew portfolio holdings during the quarter and purchased approximately $49 million of new taxable and tax free securities to reinvest the cash flows from the existing portfolio and to deploy some of our excess liquidity. We continue to maintain our investment strategy and have been increasing the municipal bond allocation as a percentage of the portfolio for several quarters. At the end of the second quarter, it represented nearly 74% of our $712 million portfolio. While we have seen some small yield declines in the portfolio during the last couple of years, using municipals has allowed us to limit the decline in yield and maintain duration fairly steady. Non-interest expenses for the quarter were $25.8 million, $3 million higher than Q1, but lower than the second quarter of 2020. Total expenses increased 13% for the quarter, because we incurred additional charges in the second quarter of 2021 related to the acceleration of approximately $700,000 of certain cash and stock-based compensation for a former employee and another $600,000 valuation adjustment that was required for an OREO property. Additionally, the company’s operating expenses are normalizing from the lower levels incurred during the pandemic. Non-interest expense is lower than the second quarter of 2020 primarily due to the one-time $7.4 million goodwill impairment charge that we recorded in 2020. The one-time adjustments combined with the balance sheet changes create some noise with our expense ratios this quarter. For the quarter non-interest expense to average assets increased to 1.82% and assets per employee decreased to $15.9 million. As we continue to focus on positive operating leverage we expect those metrics will improve and trend back to previous levels. For the second quarter, we posted a 53.6% efficiency ratio and a year-to-date ratio of 52.1%, a significant decline from 63.3% compared to the same year-to-date period in 2020. In addition to the expenses I just discussed, during the quarter we incurred startup and expansion costs for the Phoenix and Frisco locations. As Mike indicated, we experienced the most profitable quarter in our history $15.6 million in net income, which is an increase of 29.4% from the previous quarter, commensurate with growing operating revenue and inclusive of provisioning $3.5 million in the current quarter. Quarterly return on average assets continues to improve climbing to 1.1% and a pretax pre-provision return on average assets of 1.58%. We’re excited to have achieved a greater than 1% return on average assets this quarter and believe this is fairly good indication of our earnings momentum. Capital ratios remain strong, and as Mike mentioned, we completed the share repurchase program during the quarter. For the full program we repurchased almost 1.6 million shares of stock, resulting in tangible book value per share of $12.50 at quarter end and total stockholders’ equity on June 30, 2021, of $637 million. Overall, we feel good about the financial results for the quarter and look forward to continued improvement. Before I turn it over to Randy for a discussion of credit, I would like to share a few parting thoughts since this is my last opportunity. I’d like to thank our founding Board members and shareholders who funded our startup in 2007 and supported me as their CFO. Many of these folks are on this call and are still involved, but some have moved on. I’m also grateful for Ron Baldwin and the late George Jones, who also supported me during their time as CEO. They were both a big part of making us who we are today. I have actually grown to enjoy this day each quarter. Explaining CrossFirst financial results to the investment community and our talented analysts, without embarrassing myself or my associates was professionally challenging and rewarding. I will miss it. Thanks again all of you and now let’s move on to Randy to take you through a discussion of credit.
Randy Rapp: Thank you, Dave, and good afternoon, everyone. As the charts illustrate, our overall credit metrics continued to generally improve in Q2, as we experienced significant positive grade migration attributable to the economic recovery and improvement in oil and gas prices. Our classified loans decreased almost $100 million from the prior quarter and we expect that trend to continue in the last half of 2021, assuming that the economy and our customers continue to recover as the pandemic subsides. Our classified to total capital and loan loss reserve ratio has decreased from a high of 43% at the end of Q3 2020 to 24% at the end of Q2 2021. We will continue to work with our clients and we’d like to drive that ratio below 20% by the end of the year. At the end of the second quarter, we have an allowance for loan losses to total loans of 1.78%, which increase from the prior quarter and is well above historical levels. We remain on the incurred loss model for calculating the reserve requirement and continue to plan to adopt CECL on January 1, 2020 -- 2 -- 2022 -- 2022. Continued improvement in credit quality, positive loan grade migration and lower anticipated charge-off activity could lead to much lower provisioning in Q3 and Q4. The percentage of classified loans to total loans has declined to 4% at the end of the second quarter and we are actively working with borrowers with a goal of reducing this ratio back to the pre-pandemic levels of 2% or lower. We do continue to carry a small number of modified loans on our balance sheet related to industries heavily impacted by the pandemic, but new deferral requests are minimal. Also, our non-accrual and past due levels are trending positively. Several industries contributed to the spike in classified loans in 2020, led by the energy portfolio, which experienced significant price decreases starting in Q1. Other affected portfolios include various C&I-related industries and certain property types in the commercial real estate portfolio, including senior housing and hospitality, which were directly impacted by the pandemic. During the uncertainty of 2020, we recorded a net loan downgrade of $182 million to classified. At this point in the recovery we have already had net upgrades to classified loans of $115 million during the first half of 2021. If the economic expansion continues and energy prices remain stable, we anticipate seeing continued positive grade migration throughout the remainder of 2021. Energy-related transactions account for 43% of classified loans, but decreased 38% during Q2. We have only partially completed our spring borrowing base redeterminations and expect to see further positive grade migration in that portfolio in Q3 and Q4. Non-performing assets continued to decrease ending Q2 at 1.09% of total assets, due primarily to upgrade within our energy and C&I portfolios, loan payoffs and OREO liquidations. We are diligently working with our customers with a goal of lowering our NPA ratio below 1% and closer to historical levels. Net charge-offs decreased significantly in Q2 to 0.23% of average loans versus 0.74% reported last quarter and 1.03% in Q4 2020. A couple of C&I loans totaling $2.6 million were charged off this quarter. We anticipate the trend of lower charge-off activity to continue in the last half of 2021. In closing, we believe that our strong credit culture, targeted market and client focus, and loan portfolio diversity position us well for further growth as the economic recovery continues and I look forward to answering any questions you might have shortly. This wraps up our prepared remarks and I’ll now turn it back over to the Operator to begin the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Brady Gailey of KBW. Your line is open.
Brady Gailey: Hey. Good afternoon, guys.
Mike Maddox: Hey, Brady.
Brady Gailey: So I wanted to start on loan growth ex PTP, your non-PPPE loan balances I think we’re down a little over 10% annualized in the quarter. But here normally you guys are such a growth company. I don’t think we’ve ever seen non-PPP loans down. Any sort of commentary there. I know you always strategically shrinking the asset base and some deposits? Were there any strategic shrinkage on the loan side this quarter to?
Mike Maddox: Well, our loan totals were impacted by cleaning up some of our credit quality, for sure. But, I think, Brady, we’re in the same boat as a lot of everybody in our industry. I mean, on the CRA side with the low cap rates and the really low permanent loan rates, we’ve seen our real estate customer selling properties and taking properties to the permanent market, which is probably increased some of our payoff activity in that area. And then on the C&I side, we’re sitting on a pretty sizable pipeline, but those C&I deals just tend to be being pushed out and taking a little longer to get close. So, I think, you’re seeing that with a lot of people as loan growth is tough right now. But we have a strong pipeline and we continue to believe that the second half of the year will be strong.
Brady Gailey: Okay. And then on the expense side, I know you guys had a couple of one-time in nature expenses. But I think if you even back that out, your expenses were about $24.5 million. That was a little higher than maybe the $23 million mark that you have talked about, maybe just an update on how you think about the expense run rate from here, especially as you’re adding Phoenix into the mix?
Dave O'Toole: Brady, it’s Dave. In addition to what we disclose there, that was one-time step. We did have some additional costs associated with Phoenix and Frisco. We believe that numbers somewhere in the $300,000 range that will probably continue on. The rest of the expenses were just a function of normalizing from the lower levels that they were at in the pandemic. So I think as you look forward, your expense run rate, probably, the only adjustment realistically is the two non-recurring items.
Brady Gailey: Okay. And then it’s great to see the buyback continuing the quarter, now that you’re done with your previous buyback program, will we see a new buyback program coming up soon?
Mike Maddox: Brady, we do have a lot of capital. Our first option and our first goal is to really deploy that capital and grow. And so we’re really focused on either organic growth opportunities, which you’re seeing what we’re doing in Phoenix and we’re constantly out there trying to build relationships and find possible partnering opportunities. So, we don’t have any plans to do another buyback today, but I’m sure we’ll look at all of our options.
Brady Gailey: Okay. And then just lastly for me, I saw the couple million of PPP fees taken in the quarter. How many PPPs remain at this point?
Dave O'Toole: We have a couple of million dollars left at PPP fees to recognize, Brady. But the bulk of those are on the second round of PPP, which those loans have a little longer term. So there’ll be a little slower to be returned. I think we have somewhere between $500,000 and $600,000 from the first group that most of which will probably come out this quarter.
Brady Gailey: Okay. Great. Well, thank you, and good luck to you, Dave.
Dave O'Toole: Thank you.
Mike Maddox: Thank you, Brady.
Operator: Thank you. Our next question comes from Michael Rose of Raymond James. Your line is open.
Michael Rose: Hey. Good afternoon and thanks for taking my questions. Just going back to the loan growth, if I look in the back of the presentation, it looks like unfunded commitments were up about $400 million. Mike you just talked about deals taking a little bit longer to close. But that’s a nice increase quarter-on-quarter. So maybe can you just talk about what drove that growth and would you expect the pull-through rate pick up as we move into the back half of the year? And then layering on to that, obviously, the expansion out West, what can we expect over the next couple quarters from that team. I know they’re off to a fast start from when we talk last but just trying to size up the opportunity and what actual growth could look like ex PPP as we move over the next couple quarters? Thanks.
Mike Maddox: Yeah. You make a good point. Our line utilization and our C&I portfolio typically runs around 48%, 49%. Right now, it’s about 38%. So we’re still seeing a lot of customers sitting on a lot of cash and probably a lot of that from the stimulus. But we made about $300, a little over $300 million in new commitments in the second quarter in loans and about $100 million of that funded. And so we believe that -- and that’s really divided but pretty evenly between commercial real estate and C&I. We’ve seen nice growth in our healthcare portfolio, some service industry credit and our enterprise value portfolio continues to perform well. So, pretty diversified growth. We -- and as I said earlier, we have a strong pipeline. And then, Phoenix, we -- we’ve hired Kevin and he’s hired two terrific bankers, one will focus on C&I lending and one will focus on commercial real estate. And we believe we have a tremendous opportunity out there. They’re already putting points on the Board and we think that’s a market that can really perform well for us.
Michael Rose: All right. Great. And then, so the deposit run-off, if I look at the kind of average balances versus the period end balances seems like a lot of that came off in the back half of the quarter. And just try to think about the impact on the margin, obviously was up this quarter, partly because of that, but as we think about the third quarter, should we actually think about the core margin ex PPP continuing to move higher from here? Thanks.
Dave O'Toole: Yeah. Michael, this is Dave. I think that is the right conclusion with margin. I think it will move forward. You’re exactly right the average balance of our liquidity is not the same as the quarter end balance was. Most of our decline happened towards the end of the quarter. So we had a lot of excess liquidity during the quarter that’s now gone. And so in the third quarter, we’ll get some benefit from that. So we like the position of our balance sheet and the rest of our earning assets and our ability yet to lower our cost of funds a little bit further should promote, certainly, at least 3.12%. But we think probably some improvement on that with NIM in the third quarter. Loan fees are the item that’s hard to determine in our margin calculation of the third quarter kind of depends on what the loan activity does. But I think you can see margin move a little bit higher.
Michael Rose: All right. Great. And then maybe just one final one for me just on the energy book, you still have a decent amount that’s kind of criticized and classified. We’ve seen the price of oil move up. What’s the outlook there and you’re starting to see some banks talk about actual growth as we moved in the back half of the year. So we’ll just love an update on the energy book and what we can expect in terms of migration in growth? Thanks.
Randy Rapp: Hey. Michael, this is Randy. As we said, we saw a significant positive grade migration in that portfolio in Q2. We expect that to continue in Q3. We -- you’re right we’re definitely in a higher price environment that does take a period of time for that to flow through from the well to then our borrowers. And as we look at our redeterminations, we’ve wanted to see Q1 financials to see that flowing through and we’re seeing that and so we saw good upward migration in Q2, and again, we expect to see that in Q3. As it relates to new activity, as we stated, over time we want that percentage to -- of the book to continue to decline. But that can also happen with the other segments growing up around it. And so we’re -- our stances we’re going to be opportunistic on some new opportunities and we think that some of those are out there.
Michael Rose: Great. Thanks for taking all my questions.
Mike Maddox: Thanks, Michael.
Operator: Thank you. Our next question comes from Andrew Liesch of Piper Sandler. Please go ahead.
Andrew Liesch: Hi. Good afternoon, everyone.
Mike Maddox: Good afternoon.
Andrew Liesch: Just follow up question on the kind of the improvement of the balance sheet efficiency there, are there any other opportunities for further improvement on that front?
Mike Maddox: I think we’ve probably compressed our balance sheet about as far as we want to. There are opportunities, but it would involve going into the investment portfolio and right now we like those earning assets on our books. There’s no reason in my opinion to take them off the books and continue to shrink down the balance sheet. So I think it’s about as efficient as it’s going to get. We’d like to see it start ramping up in the third quarter.
Andrew Liesch: Got it. Thank you. That’s helpful. And then just -- maybe I missed it earlier, the other fee income line, just to something up look like that was up about $700,000. Is there anything one-time in nature in that item?
Mike Maddox: Not that I recall off the top of my head for the $700,000 item. There is combination of items that go into that bucket.
Andrew Liesch: Right. Right. And then just lastly, what the tax rate for a couple of quarters, now has been below what I’ve been looking for, I think, some of that was -- that benefited from the non-taxable gains. But what tax rates do you think we should be using going forward?
Mike Maddox: Yeah. I’ve been continuing to tell you all to model it 21% and we’re not running. Our effective tax rate has consistently been less than that. I’d probably move to about a 19% number. What’s driving that is we have actually made some investments and tracked in some tax credit bonds. That’s helping reduce our tax -- taxable -- our tax liability. So it’s a combination of the tax free items that are on our books right now and some specific tax credit securities that we purchased. So I’d probably model out at 19% or 19.5% rather than 21%.
Andrew Liesch: Okay. Thanks for taking the questions. Dave, we will I miss you on the conference call going forward. Thanks.
Dave O'Toole: Thank you.
Operator: Thank you. Our next question comes from Jennifer Demba of Truist. Your line is open.
Jennifer Demba: Thank you. Good afternoon.
Mike Maddox: Hi, Jennifer.
Jennifer Demba: Just wondering what -- hi. Just wondering what markets you might be interested in for further de novo expansion in the future beyond Frisco and in Phoenix and…
Mike Maddox: Yeah. Well, we want to continue to grow our presence in Texas and we believe we have more room for expansion in the Dallas-Fort Worth metroplex. Yeah, there are other major cities in Texas like San Antonio, Austin and Houston, that if we found the right opportunity would be interesting for us in the future. And then outside of Texas, Phoenix was a market we had been interested in for a while and we think Denver is another market that will fit our model well and may provide us some opportunity. And we’re not uncomfortable doing it in a de novo manner. But if we found the right opportunity, we wouldn’t be opposed to doing something through M&A either.
Jennifer Demba: Okay. And what kind of -- what are you seeing out there in terms of wage pressure when you do try and hire new talent?
Mike Maddox: Well, it’s unique by market and every market offers different challenges. But there’s no question. There’s a lot of competition right now for talent and there is pressure on wages. And we’re trying to ensure that we’re remaining competitive and we’ve been able to hire some really great talent over the last quarter or two, and we expect we’ll be able to continue to do so.
Jennifer Demba: Okay. All right. Thanks so much. Good luck, Dave. Thanks.
Dave O'Toole: Thank you, Jennifer.
Mike Maddox: Thanks, Jennifer.
Operator: Our next question comes from Matt Olney of Stephens. Your question please.
Matt Olney: Yeah. Thanks, guys. Most of my questions have been addressed. But on credit, we got a great report from Randy for the second quarter and it sounds like there’s more good news in the way in the back half of the year. And I don’t want to get too far ahead of things, but when thinking about provision expense for loan losses, is it possible to see this provision expense to be zero in the future or even negative in the back half of the year?
Randy Rapp: Hey, Matt. This is Randy. Happy to take that. Matt, historically, we’ve carried a lower reserve level than we have today. As we move past the pandemic we envision moving back towards that historical level. As we -- Dave announced, we did reduce our provision in Q2. And as we go into Q3, we will keep all options in front of us and available and including a negative provision if warranted. That decision will really be based on economic conditions, energy prices, charge-off activity, grade migration and loan growth. But again we will look at all options.
Mike Maddox: Matt, our goal is to grow into our existing provision ideally. But as loan growth continues to be challenging for everybody, we’re going to have to look at all options as we look at our reserve. And Randy and the team are doing a great job with credit, and as we expected, we expected our credit would improve and it is.
Matt Olney: Okay. And I guess switching gears, you guys added a nice disclosure on slide 22 with respect to interest rate sensitivity and it looks like you’re relatively rate neutral at this point. I think the futures curve and forecast points to fed tightening sometime in late 2022, early 2023. And assuming that’s right, do you expect to maintain this current neutral profile or would you consider meaning more into being asset sensitive over the next year or so?
Mike Maddox: We’re pretty comfortable currently being close to neutral, Matt, on our sensitivity. But clearly, as we look forward, we may want to start extending some liabilities at some point in time either doing that with a swap on the balance sheet or looking for other means to do that to make us a little more asset sensitive. But I wouldn’t be in a rush to do that at this stage of the game. We’re not opposed to doing it if we feel like the signs are out there for increasing rates and we think we’re flexible enough that we can make that decision easily.
Matt Olney: Okay. All right. Well, that’s helpful. Well, congrats on the quarter and Dave best wishes on retirement.
Dave O'Toole: Thank you, Matt.
Operator: Thank you. At this time, I’d like to turn the call back over to Matt Needham for closing remarks. Sir?
Matt Needham: Thank you for joining us today on the call. As a quick reminder, this call can be accessed via replay on our website. And as always, you can contact me with any follow up questions you might have. Again, we appreciate your interest or continued investment in our company and thank you for joining us this afternoon. Take care.
Operator: Well, this concludes today’s conference call. Thank you for participating. You may now disconnect.